Operator: Thank you for standing by. This is the conference operator. Welcome to the Westwater Resources, Inc. Full Year 2019 Results and Business Update Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Chris Jones, President and CEO. Please go ahead, sir.
Chris Jones: Thanks, [Anastasia]. Good morning everyone. Thanks for joining us today and welcome to the Westwater Resources Fiscal Year 2019 Results and Energy Materials Business Update Conference Call. With me on the call today is Jeff Vigil, our CFO and Vice President of Finance; and with us by phone is Dain McCoig, our Vice President of Operations. I would like to remind our listeners to read our cautionary statements on the following pages as we will be discussing some forward-looking statements and information. Turning to Slide 3, Westwater is a green energy materials developer with a diverse portfolio of assets in graphite, lithium and uranium. 2019 saw several a key milestones achieved by the Company and the development in its battery-ready to graphite business. I'll speak more these details in later slides, but we are very proud of these accomplishments that led in many cases to material cost savings to the Company, positive revisions to our business plan, all of a shorter duration towards cash flow generation. Our diverse asset portfolio includes lithium and uranium properties, each providing opportunities for Westwater to monetize in support of our long-term goal of building our battery graphite business. With that, I'll end the call to Jeff to discuss our financial.
Jeff Vigil: Thank you, Chris, and good morning everyone. First, let's look at our capital structure on Slide 4. Recent share price is $2.57 with approximately 4.2 million shares outstanding. Market capitalization stands at $10.8 million. Fundamentally, our business is strong and we believe our current asset diversification strategy, our expansion and progression towards developing our battery-materials business along with our vanadium discovery at our Coosa Project and other factors internally and within our industry provide significant upside potential for the Company in the long-term. Turning to Slide 5 and our financial summary for fiscal year 2019. Net cash used in operating activities was $10 million for the year ended December 31 2019, as compared to $11.60 for the same period in 2018. The $1.6 million decrease was due to a decrease in mineral property expense and general administrative expense of year-over-year. For the year ended December 31 2019, mineral property expenses decreased by approximately $700,000 as compared to the corresponding trade in 2018. Decrease was primarily due to a reduction in the reclamation activities at the Vasquez and Rosita projects due to extremely weather adverse and rainy weather conditions in the first half of 2019, and a reduction in operating activities at the Temrezli Project due to the revocation of the mining licenses by the Government of Turkey in June, 2018. General administrative expenses decreased by approximately $900,000 as compared with the corresponding period in 2018. The decrease was primarily due to decreases in executive incentive compensation, consulting expenses and sales and marketing expenses. Our consolidated net loss for the year ended December 31, 2019 and 2018 was $10.4 million and $35.7 million or $5.31 and $38.48 per share respectively. Decrease in consolidated net loss was mainly the result of nearly $18 million impairment charge made during the second quarter of 2018 related to the Temrezli and Sefaatli uranium mineral assets in Turkey. Company's cash balance was $1.9 million at December 31, 2019 and is $1.6 million at February 12, 2020. Our current cash position is supported by certain financial instruments including our stock purchase agreement with Lincoln Park Capital and our controlled equity offering sales agreement with Cantor Fitzgerald. Company intends to pursue project finance to support execution of the battery graphite business plan, putting discretionary capital s expenditures associated with graphite battery material product development, construction of pilot plant facilities and construction of commercial production facilities. With that, I'll turn back to you, Chris.
Chris Jones: Thanks, Jeff. On Slide 6, we've listed our asset portfolio as it stands today. This includes our Coosa Graphite Project, our lithium projects, our uranium assets and our vanadium discoveries. More on that as we go along. Please turn to Slide 7. We believe our Coosa Graphite Project will position Westwater as the leading graphite supplier in the United States. Located in East Central, Alabama, we are ideally situated geographically to take advantage of the rapidly growing energy minerals and markets, which includes several of the leading battery and automobile manufacturers. I will discuss in the next several slides how certain milestones we have met in the project have allowed us to accelerate our graphite business plan execution, which will be the catalyst to securing contracts, realizing revenue and cash flow opportunities quicker than originally anticipated. I will also speak to the strengthening fundamentals of graphite that underpin our efforts towards developing the project. U.S. is currently 100% import dependent for graphite with current global graphite production controlled by China, which may not hold to strict environmental standards and procedures. Having a United States based supply of graphite provides improved operational efficiency while not compromising on the required quality. Most importantly, graphite production in the United States and the robust environmental protection we have here ensures more sustainable production process than some overseas jurisdictions. Turning to Slide 8, we announced in September that, we secured a long-term purchase agreement with an internationally respected supplier of natural flake graphite concentrate. In securing this agreement, we can process our three battery grade products without having to wait until the Coosa mine is permitted. This means that, we can process graphite in 2022, when we expect our production facilities to be up and running. In order to find the proper supplier, we conducted rigorous testing to find graphite material of a similar high-quality resembling the graphite at Coosa. Additionally, in line with our commitment towards high standards of environmental stewardship, we found our supplier to be an excellent partner and provider with whom we feel comfortable engaging on a long-term basis. To facilitate our plan, we've taken delivery of 20 metric tons of graphite feedstock at our Sylacauga warehouse. Moving to Slide 9, I want to emphasize the importance of this purchase agreement because it provides us a consistent high quality feedstock. We will use that feedstock in our pilot plant later this year and the production facility to follow in 2022 instead of waiting until our Coosa mine is in production scheduled for 2028. At the same time, if we have a greater demand from customers while the Coosa mine is running, we can supplement what's produced at the mine our customers' requirements. We are looking to establish Westwater as a reliable partner in the battery industry and having this purchase agreement in place will provide our customers the peace of mind that we will meet their needs Turning to Slide 10, In November, we announced that we've engaged Dorfner Anzaplan plan and internationally recognized engineering organization that specializes in high purity industrial and strategic metals businesses. Dorfner will advance the development of our pilot plant, including the design of the processes needed to purify graphite concentrate and to produce our battery great products. We are working together to scale up laboratory sample processes to pilot scale production rates through new work anticipated to be executed over the next two quarters. In addition, we are working together to define the method, equipment and operating parameters and requirements for graphite purification, as well as defining operating parameters and equipment for processes required to manufacturer Westwater's battery graphite products. Dorfner will also assist in designing our pilot program. The pilot plant will provide various product sizes of each of our three battery grade products to potential clients in advance, to advance the evaluation and prequalification tests. The sample testing efforts is the next step in the development schedule of the project, as it advances to commercial production decisions. We expect to complete the pilot plant execution by the end of 2020. Turning to Slide 11, we plan to construct the Coosa graphite processing facility to produce the three advanced battery graphite products identified on this slide that have been developed and demonstrated in laboratory scale processes over the past several years, purified micronized graphite, ULTRA-PMG; delaminated expanded graphite, ULTRA-DEXDG; coated spherical purified graphite, ULTRA-CSPG. We announced in August that we were requested to provide a bulk sample of 1 metric ton of our ULTRA-PMG product for further testing. So, why is this such an important milestone? Product qualification testing at battery manufacturers is typically a staged approach, each test dependent on the last success of the last. Our product has passed the initial testing rounds consisting of a few grams than 1 kilogram in size. As these tests are successful, manufacturers can then ask for a bulk sample of material. The fact that we've reached this advanced stage demonstrates the high-quality of our products that we've developed, the requirements of the worldwide battery industry. Turning to Slide 12, we announced early last year the discovery of significant widespread levels of the vanadium concentrations throughout the central portion of the Coosa Project. The widespread distribution of highly anomalous vanadium mineralization is commonly associated with strong graphite mineralization. Since the initial discovery, the values that have been determined through an independent analysis have shown a high-grade of vanadium contained in the rock, which according to current market prices reflects a potential opportunity for Westwater. With steel markets providing a base-load demand for vanadium as well as increase in electrical storage systems, these factors shape the landscape for an expected increase in demand for vanadium. The market price for vanadium is now $6.80 a pound and work to further explore Coosa Project as contemplated in the next 12 months. On Slide 13, we've provided a flow chart that illustrates the battery graphite process we are undertaking. We are currently at the first stage of this process as we have secured the 95% to 98% pure graphite concentrate for the pilot and initial production. We plan on transitioning the mine feedstock in 2028. From there, we have the purification process based on environmentally safe fit-for-purpose technology that produces is 99.95% plus pure carbon. From there, sizing and storing can be performed with jet mills and air classifiers. Turning to Slide 14, we've provided the economics for the Coosa Graphite Project. We're projecting CapEx at $53.4 million by 2022, which includes a 15% contingency and allowance for working capital. We anticipate the first positive cash flow in 2022 with a pretax NPV of $481 million and an internal rate of return of 41%. These figures don't account for the potential upside from our future vanadium exploration, which can enhance these economics. We are considering equity, project level debt and joint venture structures for financing. Turning to Slide 15, we've listed our lithium projects including the Columbus Basin and Sal Rica, which we've established in 2016 and currently control mineral rights encompassing approximately 27,000 acres across two perspective lithium brine basins in Nevada and Utah. The Columbus Basin project now covers more than 14,000 acres with good highways available and ample ground water access. We own the water rights for this project. In terms of the Sal Rica Project, we have more than 13,000 acres in Utah with good roads and power access. Sample results up to 100 parts per million from shallow aquifers have already been made public. We were recently granted water rights for the use of 1500 acre feet of groundwater per year in the State of Utah. Right to use water is very important in the American waste. These rights are essential to the development of lithium resources at the Sal Rica Project. On Slide 16, uranium is still a strategic focus for Westwater. They're expected to be 35% more nuclear reactors in 10 years than there are right now and they all need uranium to produce power. In addition, China, India, Russia and Korea are building reactors or have ordered over 130 new reactors. We think the demand side is going to grow as these reactors come close to going online, but market prices for uranium concentrator up from $17 a pound in 2016 to over $24 a pound per day today. Recent developments from the administration support our view that uranium prices were promising. On Slide 17, despite what has been a historically challenging environment for uranium, we believe there are several near term price catalysts including the President's request in his fiscal year 2021 budget proposal for $150 million to create a domestic uranium reserve. This is based on the recommendations from the nuclear fuels working group. Once approved, the likely outcome is increased prices for uranium produced here in the United States. The United States relies heavily on nuclear power for carbon free base load power with more than 20% of all uranium produced in the world consumed here in the U.S. Turning to Slide 18, our company is led by a team of highly tenured leaders with track records of highly disciplined management experienced in project execution, safety, community engagement and environmental management and protection. We restructured and recapitalize the Company over the past several years, repositioning Westwater as a diversified energy materials company. We've enacted a financing strategy through our $10 million purchase agreement with Lincoln Park Capital that allows for lower cost and less dilute of equity to provide working capital. Rather than using typical secondary equity offerings that can come with a high price discounts and significant warrant coverage, we opted for a strategy that uses low price discount and provides opportunistic timing options that take advantage of market events that cannot be anticipated. As a result, this agreement lowers our cost of capital while reducing our warrant coverage to below-industry norms, successfully financing our working capital needs while minimizing dilution. Our team has a demonstrated history of developing mineral properties from concept all the way to production, and a proactive merger and acquisition program has helped reposition Westwater's singular asset for portfolio and uranium to a portfolio of diverse low cost production assets while selling non-core uranium properties, redeploying capital to cost effectively expand our resource base into lithium graphite and now vanadium. Moving to Slide 19, why should someone consider Westwater as an investment opportunity? I believe based on what we presented today, the accomplishments we've made in 2019 and what we anticipate in our plans for developing our green energy materials, Westwater is a compelling investment opportunity. Industry fundamentals for our energy material assets have all shown signs of improvement, which we expect will lead to improve pricing and greater demand. We are debt free and we put financial mechanisms in place to ensure we can fund our business today. And finally on Slide 20, I want to reiterate the milestones we've reached thus far in our Coosa Graphite project, which will be the biggest growth driver for Westwater for the foreseeable future. We secured a long-term purchase agreement with price caps and collars for concentrated graphite that is similar in quality to the samples from the Coosa mine. This will allow us to have graphite to process our pilot plant, which is expected to be complete in 2020. We've already taken delivery of 20 tones of graphite to service this effort. We've engaged Dorfner Anzaplan to advance the development of our pilot plant, including the processes needed to purify graphite concentrates and to produce our battery-grade products. We've secured our first customer requests for a bulk sample of 1 metric ton of our ULTRA-PMG product for further testing, after passing smaller initial testing rounds. This is one of the last steps in the typical testing program before a customer makes a decision. In terms of anticipated milestones investors should look for throughout 2020, we expect to have further updates on our Coosa Graphite Project development and achievements. Frankly, I believe we're in a better position today than we were last year. I encourage everyone to visit our website westwaterresources.net which contains our business plan on the Coosa Project as well as a dedicated print presentation on the project. Both documents provide investors a clear picture of our plans to unlock shareholder value at Coosa. We will remain consistent in our policy of full and fair disclosure and we'll announce developments as they materialize. Thanks for your continued support. And with that, I'm happy to take any questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Debra Fiakas with Crystal Equity Research. Please go ahead.
Debra Fiakas: I have a couple questions about the pilot plant and then a couple more questions about the business pipeline. In regard to the pilot plant, I just want to make sure I understand from your comments as well as the presentation, the timeline. You expect to have the pilot plant completed by the end of 2020? Or is it expected to have completed processing the 20 tons of concentrate that that you've received?
Chris Jones: Dabra, thanks for the question and thanks for attending the call, always appreciated. We are going to run 20 tons of material through the pilot before the end of this year.
Debra Fiakas: And is this material then targeted towards fulfilling that customer requests for the 1 ton of PMG for testing purposes?
Chris Jones: You bet. So, certainly that ton and we will be making bulk material samples for any other perspective customers along the way.
Debra Fiakas: And then maybe just one more question again about the pilot plant. Thank you for putting the flow chart in the presentation. They've been added now for several weeks since you originally hired them the Dorfner folks. Can you maybe give us a little bit of color on the work that they've been doing? To what extent have they changed the process? Or to what extent have they made any modifications to the flow of things?
Chris Jones: Not much beyond our disclosures of course, but a little color. What Dorfner Anzaplan is doing, is scaling up lab processes to run in a pilot scale. I think a reasonable person would expect that there's a little bit of a change and basically efficiency design and scaling it up to a pilot plant that's, it's running about 120th, 110th scale of a production process. So, they've been working very hard at those, particular processes. And along the way, they are testing multiple different ways to purify the material, so that we can upgrade to once again production, scale process as opposed to a lab scale. So, I know this, that we were in Germany a couple of three weeks ago, visiting with them and some equipment suppliers in Frankfurt, and we're very excited about the progress are making and we expect news bulletins that we can release sometime in the March, April timeframe.
Debra Fiakas: Now, I'd like if I could to continue monopolizing this call for just a couple more minutes because I have a couple of questions about the business pipeline and thank you for that slide that shows the three product, the products, the PMG and the CPSG, the pictures of them help to really bring home the differentiation amongst the three. And of course, it's exciting to know that there are customers out there that want the PMG and the CPSG, but let's talk about the product that doesn't have a highlighted an asterisk, a love note next to it, the DEXDG product. What sort of customer might be interested in that? Who are you going after to buy that delaminated expanded product?
Chris Jones: Well, first DEXDG, we'll go into all three of the battery types that we targeted alkaline power cell, lead acid and lithium ion batteries as a conductivity enhancement. So, we're looking after the same customers. That's the good part. The better part is that, what this stuff actually is as you expand the graphite and de-laminate the flakes and as you approach graphing type flakes, so single molecule, thick graphite, if you will, the electrical performance of that material, increases. So, our DEXDG can be a substitute or an additive, to go along with our PMG material for instance, in the first two battery types led acid and alkaline power cell. And then just to increase the battery performance, lithium ion exclusive of the anode where the CSPG goes, it also enhances better performance in the rest of the matter. So for us, it is a development material. In a lot of respects, it is a relatively complex to make, but we've shown that we can do that already in previous announcements. So, it's a matter of making sure we can market this stuff to our prospective clients and customers along the way.
Debra Fiakas: And then maybe just one more question, if I could about that same product. I was looking at the flowchart and there's the sizing and sorting step. The things that end up as the DEXDG, the delaminated product, are those the things that simply got rejected for spheronization and conversion into that CSPG product that goes into the lithium-ion battery anode?
Chris Jones: Not really, we size and sort for purpose for DEXDG. We want bigger flakes basically.
Debra Fiakas: Okay. So, one isn't necessarily dependent on the other.
Chris Jones: No, and you can re-blend the graphite to service any particular customer order on the flies the way we've designed this particular flowchart. So, if you've got a higher demand for CSPG, you can send a larger flake into CSPG. If you've got a higher demand for DEXDG, and remember, the margins are quite high on either one of those two products. So, we really want to make those two materials as much as we can and sell them. So, the manufacturing process to be designed by the pilot plant performance will allow us to switch back and forth between those products.
Debra Fiakas: I see, very good, and then this will be my very last question. And this is in regard again to slide 11, where you talked about your three products. You know that there's an R&D project underway within automotive manufacturer. And I wondered if you might just give us a little bit more color if you can on, what the character of this R&D project is about? Is this a request or you being paid for example buy a car manufacturer to explore something? Could just maybe tell us a little bit more about that R&D project, and maybe also its timeline?
Chris Jones: Well, it's certainly a cost sharing effort as opposed to revenue effort at this point. I'll be perfectly candid there, but as we develop this product for this particular manufacturer, it is a different use for one of our products, the CSPG than a conventional lithium-ion battery. So, it's pretty exciting for us. It's pretty early stage and the manufacturer like the alkaline power cell manufacturer, they prefer to keep their names out of the press for now.
Debra Fiakas: Understood. So, this is an R&D project. You're actually exploring something entirely new. Can you tell us whether or not this car manufacturer might have at some previous time tested the [CPSG] for a battery purpose?
Chris Jones: I really can't say, the testing that has been successful with these guys has been for this new purpose, if you will.
Operator: The next question comes from Michael Porter with Porter, LeVay & Rose. Please go ahead.
Michael Porter: We're getting a lot of calls in the office from shareholders who've been asking us, if there's any effect on the virus in any way on Westwater. Could you comment on that please?
Chris Jones: Yes. Certainly, coronavirus has been in the news, and our thoughts and prayers are out to anyone affected by the virus itself or as a family member concerned about somebody that was. And our thoughts and prayers also go to the caregivers to hopefully they have the tools and the protection they need to cure this once and for all. Our view beyond that, however, is that, I think it is really an indicator of the fragile nature of the Chinese business ecosystem. This disease has spread quickly and it is absolutely and totally disrupted the supply chain for Graphite, the use on the manufacturer of lithium-ion batteries. And I think it speaks directly to really our credo around being a U.S. based, a U.S. producer of graphite materials so that our clients and our customers can enjoy a diversity of supply and the face of disruptions that are totally outside the norm of product change. So thanks for the question. I appreciate it.
Operator: [Operator instructions] This concludes the question-and-answer session. I would like to turn the conference back over to Chris Jones for any closing remarks.
Chris Jones: Thanks [Anastasia]. And thank you all for spending time with us today and learning about our business and its potential. Please have a great day.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.